Operator: Ladies and gentlemen, thank you for standing by and welcome to the Shawcor Q3 2021 results webcast. At this time all participants are in a listen only-mode. After the speaker's presentation there'll be a question-and-answer session. [Operator Instructions]
Meghan MacEachern: Good morning. Before we begin this morning's conference call, I would like to take a moment to remind all listeners that today's call includes forward-looking statements that involve estimates judgments, risks and uncertainties that may cause actual results to differ materially from those projected. The complete text of Shawcor statement on forward-looking information is included in Section 4.0 of the third quarter 2021 earnings press release that is available on SEDAR and on the company's website @shawcor.com. I'll now turn it over to Shawcor’s President and CEO, Mike Reeves.
Mike Reeves: Good morning and thank you for joining Shawcor’s third quarter conference call. Today Meghan and I are joined by our CFO, Gaston Tano. Key macro drivers for our business continue to evolve favorably with increasing global investment in critical infrastructure, accelerating demand for premium and electric vehicles and strengthening commodity price fundamentals. Cumulatively these underpin our confidence that a multi-year upcycle for Shawcor business is developing. During the third quarter, the company continued to deliver on its commitment to support critical infrastructure markets with highly engineered materials based solutions. generating revenue increases in all three business segments compared with the same period last year, excluding the impact of the products business which were sold in late 2020. We also increased our backlog on a quarter-over-quarter basis with new business capture exceeding backlog consumption in all reporting segments, including a slightly earlier than expected build in type coating backlog. This improvement in backlog and the even more favorable change in our budgetary coat balance reflect an increasingly positive macro environment. Despite this positive, mid and long-term outlook in the immediate term, seasonal cycles, a low and pipe coating project activity and constriction in raw material supply chains are expected to drive earnings in the next two quarters to be slightly below Q1 2021 levels. Tightness across much of Shawcor’s raw material supply base remains challenging. Whether our products incorporate specific polymers, resins, metals or glass fiber, we continue to experience supply limitations extended lead times and sometimes volatile costs, both for the materials themselves and related shipping activities. Based on the expected timing of producers bringing incremental capacity online, it is reasonable to expect these challenges will continue throughout the remainder of 2021 before abating during the first half of 2022. With the availability of certain specific materials now expected to be tighter in Q4 and the early part of 2022 than previously anticipated. Across the company, we continue to work respectfully with our customers to ensure incremental input costs are fairly reflected in our selling prices. Built on many years of close cooperation with suppliers, the strategic diversity of sources and the ability to lever our balance sheet for risk lowering forward material purchases, we remain confident that Shawcor is well positioned to navigate these continuing global supply challenges but related near-term volatility remains a risk. Regardless of these near-term impacts and the elimination of government subsidies, which have enhanced results in the last 18 months, we are confident that Shawcor’s annual earnings will once again increase in 2022. Turning to segment business activity, our composite system segment is primarily influenced by two market forces. The first is demand for premium UL Listed underground storage tanks within the North American retail fuel and water markets. The second is demand for reliable, spoolable composite pipe to connect newly completed oil and gas wells into existing processing and storage infrastructure. Third quarter composite system segment revenue rose by $6.4 million or 7% when compared to the second quarter of 2021. Q3 shipments of Shawcor’s market leading underground storage tanks were higher than Q2, as sustained fill station construction and refurbishment activity and demand for the company's hydro chain stormwater management systems continued. This demand drove tank-related backlog to a new record during the quarter and enabled the company to adjust billing practices with most clients now invoicing at the time of product completion, rather than at the time of physical shipment, which is expected to accelerate cash flow and lower seasonal volatility within this business moving forward. Market demand for both fuel and water-related underground tanks is expected to remain robust in the foreseeable future, albeit with normal seasonal softening in Q1. Unfortunately, tank-related raw material availability has tightened further in recent months and continues to be highly volatile. We currently anticipate this will cause our tank production output in Q4 and early 2022 to lag demand, lowering revenue and negatively impacting plant utilization for the segment in the coming two to three quarters. Our actions to qualify additional supply sources and our suppliers actions to increase production, are expected to lower the supply chain effects as we move through the first half of 2022. North American demand for composite pipe rose in Q3 versus the prior quarter, as improved oil and gas commodity prices through continued growth in well construction activity in the U.S. and Canada. While most onshore oil and gas operators remain conservative in their capital spending plans, provided oil and gas commodity prices remain favorable. We anticipate North American demand for these products will grow further in 2022. Normal Q4 seasonal impacts are expected to lower demand for composite pipe compared to Q3, with demand rising again in Q1 of '22. At this time, our composite pipe business is not significantly impacted by raw material availability issues. Although price escalation has continued, which the company has generally been able to pass through to customers with a modest time lag. Outside North America, we continue to observe elevated coat activity for composite pipe products driven by an improving customer capital spending output. While several contract award decisions are expected late in 2021, there's likely 2022 before meaningful incremental revenue tied to these awards is delivered. Pipe shipments associated with the substantial Middle East order noted in our Q1 earnings release continued throughout Q3 and will do so for the coming 18 months. In summary, we anticipate robust demand across the composite system segment throughout 2022 and likely beyond. But we'll see lower revenue and earnings contribution during Q4 and Q1 as seasonality and raw material availability impacts our observed. Moving to Shawcor’s automotive and industrial segment. During the third quarter this segment saw revenue rise $4.7 million, or 7% compared to the second quarter, reaching a new record high in both revenue and adjusted EBITDA. Increased demand for heat shrink products within automotive applications, and for engineered wire and cable products by electrical utilities and communication providers are fueling growth in this business. We anticipate these demand dynamics continuing throughout 2022 and likely beyond. However, they are subject to supply chain disruption risks. Specifically, the automotive marketplace remains challenged by a well-publicized shortage of microchips, which in recent months has extended into the premium chip sector. This development has led several large automakers to reduce production activity of premium vehicles during Q4, which in turn has temporarily lowered demand for Shawcor’s related heat shrink products, tempering our expectation for this business in the coming quarter. Potential impacts beyond the current quarter are difficult to predict at this time. When microchips shortages abate, we see a further opportunity for growth in our automotive and industrial business, as customer ordering expands to normalize inventory needs. During Q3, the ShawFlex Wire and Cable business benefited from substantial deliveries of premium products into 5G communication build out and nuclear refurbishment projects, elevating revenue and creating a favorable margin impact. This margin benefit was further enhanced by the utilization of advanced purchased copper wire which we discussed in prior quarters. It should be noted that 5G communications build out activities are project-based having variability quarter-to-quarter, and we currently anticipate 5G-related shipments will return to more modest levels in Q4 and early 2022. During Q3, our ShawFlex business reached a new record backlog driven by a broad array of critical infrastructure renewal and expansion projects. We continue to have a constructive view of the mid and long-term market trends which impact this business. Last month, our pipeline and pipe services segment revenue during Q3 fell by $24.8 million, or 17% compared to the second quarter, as lower pipe coating activity in all geographic regions was partially offset by higher major project driven pipeline inspection and engineering activity. Despite this lower revenue level, efficient pipe coating execution coupled with substantial recent footprint and cost optimization enabled the segment to deliver a positive adjusted EBITDA contribution during the quarter. We continue to focus significant attention on further cost and footprint rationalization while ensuring we retain the talent capabilities and geographic presence to support our customers globally. Looking forward, we anticipate these lower levels of pipe coating activity to persist in Q4 and the first part of 2022 before activity rises in the second half of 2022 as secured projects commence. The specific geographic and product mix of pipe coating activity scheduled over the next two quarters is likely to result in approximately breakeven adjusted EBITDA for the segment during this period. As we have discussed many times, Shawcor’s pipe coating business is tied primarily to the timing of offshore pipeline project sanctioning, which inherently leads to volatility from quarter-to-quarter. However, continued favorability in oil and gas commodity prices, coupled with elevating global demand for natural gas is driving an increase in pipeline investment planning activity with multiple midsize and several large pipeline projects expected to reach final investment decision in the coming months. Pipe coating backlog grew modestly during Q3, improving slightly sooner than previously expected, and reflecting the early phase of what the company expects to be a multi-year offshore pipeline capital spend cycle. Turning to backlog, at the end of Q3 the company's committed backlog of work to be completed within the next 12 months stood at $507 million, an increase of $18 million when compared to the prior quarter. This improvement was the result of new order capture exceeding backlog burn in all three reporting segments, with backlogs in our composite systems and automotive and industrial segments reaching new record levels. Previously, the company had anticipated pipe coating backlog to decline until year end before benefiting from new contract awards early in 2022. However, with some customers demonstrating increased urgency, we now believe our pipe coating backlog will build modestly in Q4 and then more substantially as we enter 2022. Shawcor’s bid number reflects the value of work where the company has issued a firm price with proposed contract terms against an explicit scope of work with a defined timeline for execution. At the end of Q3, the bid balance was $911 million, the decline of $61 million when compared to the prior quarter, reflecting the transition of several bids into backlog. Included in the bid number are now $237 million of conditional awards pending the client's final investment decision up from 151 million in the prior quarter, as multiple mid-sized coating projects were conditionally awarded during Q3. Shawcor’s budgetary number reflecting the value of indicative pricing submitted to allow customers to build a project budget ahead of formal procurement activities grew substantially from just over $1 billion in Q2 to approximately $1.5 billion at quarter end. This supports our expectations that pipe coating activity will rebound during the latter part of 2022 and into '23 which when combined with a constructive outlook for composite and automotive and industrial product demand provides confidence in our long-term outlook for Shawcor. In parallel with Shawcor’s focus on business execution, we continue to also evaluate our ESG performance and seek opportunities to lower our environmental impact both through the products and services that we provide our customers and our own environmental footprint. Next week, we will be releasing our annual sustainability report, which will include specific ambitions to significantly reduce our scope one and two GHG emissions and materially elevate diversity within our senior leadership team over the coming decade. We have spent the last 12 months carefully reviewing tangible actions to drive achievement of these ambitions and are confident in our pathway forward. Shawcor has driven substantial improvement in multiple ESG related metrics versus our 2019 baseline and will continue to share our progress year-over-year. Finally, on October 8th, we announced that Gaston Tano has elected to step down from the company at the end of May next year after transitioning his CFO responsibilities to Tom Holloway, who will join Shawcor in December initially as Chief Accounting Officer. This extended thoughtful executive succession plan is consistent with Shawcor’s long held practices and ensures minimal disruption to the organization's tactical and strategic initiatives. While Gaston and I will enjoy several more quarterly earnings calls together, I would like to take this opportunity to appreciate his selfless dedication to the company and tireless commitment to value creation for all stakeholders. The entire Shawcor team wishes him the very best in the next phase of his career.
Gaston Tano: Thanks Mike. Shawcor’s Q3 adjusted EBITDA was 31.8 million and revenue of 291 million, with cash flow from operations of $17 million during the quarter. These results reflect a record quarterly performance from our automotive and industrial segment and robust demand in our composite systems segment partially offset by the expected lower pipe coating activity within our pipeline and pipe services segment. And increasingly tight supply chain impacts across several business lines. Consolidated revenue in the third quarter was $291 million, 9% higher than the third quarter of 2020. This reflects increases in composite systems in automotive industrial segments, partially offset by a decline in the pipeline and pipe services segment, compared to third quarter of 2020. The composite system segment revenues increased by 23% primarily due to higher demand for our composite pipe products driven by improved drilling and completion activities in North America coupled with increased activity in tubular management services. The automotive and industrial segment revenues increased by 45% as demand for the company's automotive products continue to outpace overall automotive production as a result of electronic content growth in the premium hybrid and full electric vehicle markets. The company also benefited from infrastructure spending on communication, transportation and nuclear refurbishment projects, while the pipeline and pipe services segment revenues decreased by 18 million, reflecting the absence of 19 million of revenue attributable to the products business sold in December 2020, and lower revenues in the EMAR and Asia Pacific, due to lower pipe coating activity. This was partially offset by higher revenues from an increase in large project pipe coating activity in Latin America, and higher pipe coating growth while inspection and engineering services in North America. Consolidated results for the third quarter were impacted by non-recurring items outside of the company's normal course of business. The current quarter includes 1.1 million of restructuring and other income resulting from the sale of a property in Western Canada related to a plant closure or reduction of decommissioning provisions on plant closures and cost saving initiatives completed in the quarter. The current quarter also included 1.8 million gain on investment in associates as well as the negative impacts of 11.6 million in the impairment charge related to our SIS girth weld inspection business and a loss of 1.6 million for Argentina hyperinflationary accounting. The prior third quarter included 8.2 million gain on investment associates, as well as negative impacts of 12.4 million of restructuring costs and a loss of 400,000 for Argentina hyperinflation accounting. Our adjusted EBITDA for the current quarter was 31.8 million significantly higher than 17.8 million reported in the third quarter of 2020. Adjusted EBITDA margins exceeded 10% for the second consecutive quarter, reflecting the company's continued execution of cost reduction and efficiency improving activities. At quarter end, the company's global salary workforce stood at 28% below March 2020 levels and SG&A expense for the third quarter was significantly below our previous guidance of 55 million per quarter. Although this result did benefit from an adjustment to incentive compensation accruals. Moving forward, we have lowered our quarterly SG&A expense guidance to 53 million. Turning to cash flow in the quarter. Cash flow provided from operating activities for the third quarter was 17 million and increase compared to the 7.3 million in third quarter of 2020. This increase was primarily driven by an increase in net income and non-cash items offset by a cash outflow of 8.7 million in net change in non-cash working capital and foreign exchange. Cash used in investing activity in the third quarter was 2.5 million primarily due to 5.9 million of purchases of property plant equipment offset by 3 million in proceeds from investment associates. The limited third quarter CapEx spend reflects our continued thoughtful timing of investment decisions, and as a result, we have lowered our full year of CapEx spending guidance to approximately 35 million. During the third quarter, cash used in finance activities was 40.4 million, reflecting 35 million repayment of debt outstanding and 5.4 million payment of our quarterly lease obligations. Net cash used in the third quarter of 2021 was 23.1 million compared to the cash provided of 3.1 million in the third quarter of 2020. With respect to cash and debt, the company has a cash balance of 116.9 million debt of 324.8 million and 41.8 million of standard letters of credit as at September 30, 2021. The company's equity position has benefited from significant initiatives completed in the last 18 months and it's continued focus on reducing its operating cost basis. With confidence in our look, the company has repaid 130 million of its outstanding debt over the past nine months. This reflects the 35 million repaid in the third quarter, and 20 million repaid subsequently. Based on the actions completed and its outlook, the company expects to generate sufficient cash flows to fund its operations and continue to focus on improving its balance sheet position. I'll now turn it back to Mike for some final comments.
Mike Reeves: Thank you, Gaston. This organization remains intensely focused on a short list of key outcomes designed to deliver higher returns with greater consistency and predictability over time. Firstly, protecting the health and safety of our employees while thoughtfully lowering our environmental footprint. Second, capturing our share of increased customer spend by delivering our high value products and services with quality and integrity. Third, lowering costs, generating cash and strengthening the balance sheet. And fourth, selectively allocating capital to those business lines best aligned with long-term macro trends, while evaluating strategic options for those businesses which are less well aligned. In closing, following solid financial performance in Q3 and despite near-term seasonal schedule and supply chain driven hurdles, Shawcor’s superior product portfolio is very well positioned to benefit from increasingly favorable market trends across the critical infrastructure sector. We are encouraged by the demand fundamentals in our business and expect full year 2022 EBITDA to exceed full year 2021. Our focus on margin expansion, debt reduction and carefully targeted capital investment remains paramount. I'll now turn the call over to the operator and open it up for questions you may have for myself, Gaston, or Meghan.
Operator: [Operator Instructions] First question comes from Michael Robertson with National Bank Financial.
Michael Robertson: Hey, good morning all and thanks for taking my questions. I wanted to start with the supply chain challenges you noted on the competent tank side. When you're engaging with your raw material suppliers, what kind of signals are you looking forward to indicate a sense of confidence that the disruptions will be short-term in nature and that there's some slack on the horizon outside the near-term quarters?
Mike Reeves: Good morning, Michael, thanks for the question. Yes, that's clearly the primary area of focus for us from a supply chain perspective. It's the one piece of our business where we have not been able to consistently secure the inbound supply of raw materials that we need to meet our customers' expectations. The backlog in this business is at record levels and demand for the underground storage tank product line, particularly in fuel applications has continued to grow as fuel station network expansion and renewal occurs across North America. We've got a number of vendors in this space, the product in question here is a very specific regulated, UL Listed resin. And as we have worked with those vendors, they've given us confidence that their ability to produce in greater volumes is on the near-term horizon. The impact that they have suffered from primarily is the availability of specific ingredients that are largely produced on the Gulf Coast. And we are impacted by the hurricanes earlier this year in early Q3 that forced the number of individual component providers to declare force majeure. Those force majeure notifications have been lifted. So we do expect that our existing supply base will improve. But certainly we don't sit there and wait for that to happen. So there's a number of actions that are underway for some time across the organization to expand our supply base to qualify alternative blends, and to accelerate other internal efficiencies that should allow us to produce more tanks from the resin that is available. At the moment, we are optimistic that the severity of these challenges will lower as we move through the first half of 2022.
Michael Robertson: Got it. Understand. Very helpful color. You noted a lot of the increase in the backlog was driven by demand for composite tanks and other non-oil and gas related orders. Given that you also noted some price surcharges being implemented to help offset raw material price increases. I was wondering if you could sort of ballpark how much of the pickup you're seeing in the backlog being driven by price increases versus when volume or unit increases, would it be roughly a 50:50 split or maybe skewed one way or the other more heavily?
Mike Reeves: Certainly skewed more heavily to demand increases. There's an element of backlog growth that is tied to price improvement but it is well below 50%.
Michael Robertson: Got it. That's great. And I guess assuming the raw material inflation subsides at some point, would you be expecting to see some margin expansion on the back of that? Would you be able to sort of keep the price increases that you've instilled over recent quarters?
Mike Reeves: I think across most of our business lines, the degree of demand in the marketplace for products is expected to remain elevated. And that's certainly a favorable environment for us to maintain pricing, even as raw material input costs lower. I would say that at this point the input costs of raw materials lowering is not something that we're anticipating in the near-term. I think that dynamic likely remains roughly where it is, for most of 2022. So it's not a near-term effect but we certainly would expect that we have pricing power in this demand environment.
Michael Robertson: Fair enough. Last question, before I turn it back, you posted like, think was another record quarter for the automotive and industrial segments. Based on your current capacity -- was just sort of wondering how close you were to that, sort of ceiling in the quarter. Given the chip shortages, I realized bumping up against capacity is not likely a near-term concern, but was just curious how close you were to that the limit in Q3?
Mike Reeves: We certainly were operating towards the upper end of the operational efficiency spectrum that we would choose to, but in parallel, we've been making continuous investments to ensure that the total capacity of that business which operates from a global footprint with manufacturing activity in Canada, in Germany and in China has continued to grow. So at this point, I do not believe even with the demand growth that we anticipate moving through 2022 that business will be challenged in its capacity to meet customer needs from an overall capacity perspective. The one challenge that we face there is the one that we called out, which is this relatively short-term issue of automakers struggling to find all of the component parts they need to assemble their vehicles.
Michael Robertson: Got it. All right. Well, that's really helpful color. I appreciate you taking my questions and I'll turn it back.
Operator: Our next question comes from Aaron MacNeil with TD Securities.
Aaron MacNeil: Hey, morning all, thanks for the time and Gaston, I know you're not going anywhere anytime soon, but all the best. Mike, can you remind us what the timeline is between, an FID for a pipe coating project and revenue recognition? I mean, maybe the better way to ask the question is assuming all these conditionally awarded projects go ahead. Can you give us a sense of the shape of that 237 million from a revenue recognition perspective?
Mike Reeves: Yes. Good morning, Aaron. I'll offer some perspective. Gaston may have some additional comments here. So there is certainly a range of time horizons between FID and pipe coating execution, very, very project specific. But generally, we would expect that we see revenue within approximately 12 months of the FID, sometimes it can be as rapidly as four to six months post FID, sometimes it's a little longer than 12 months out there. I think that the shape of the pipe coating revenue curve that we've outlined here in our comments being unfortunately, rather depressed here in Q4 and moving into Q1 and then rising as we work our way through the remainder of 2022 certainly back half loaded revenue there. That's indicative of what we think the revenue from these already sanctioned or awarded conditional on sanctioning projects is going to deliver.
Aaron MacNeil: Understood. Gaston, what inning are you in from a cost production perspective? I mean, have these programs largely wrapped up at this point or is there more smaller stuff that you're still working on?
Gaston Tano: Yes. I think we continually are looking at our footprints and assessing what the future holds and looking for opportunities to reduce our costs. I wouldn't say we're close to the end, but we've substantially completed the majority of the significant initiatives that we think there's opportunities for.
Aaron MacNeil: Understood. And then, Mike, a bit of a high-level question now that you've been in the chair for a while. Can you maybe give us your updated view on various products to sell and markets it serves? Specifically, I'm wondering if you could address things like, what's your view of the FID, integrity management, which was an early focus your predecessor, you've obviously announced an impairment charge this quarter as well, maybe the automotive and industrial segment, which gives you some great diversification and transitory challenges inside of them performing really well but not something you're really getting credit from a valuation perspective. Are there any gaps and services or products you need for organic business development, or M&A? And I know there's a lot to addressing the question. And in many cases, it'd be tough to get into specifics. But really just trying to get a sense of where your head's at, from a strategic perspective and where you'll be steering your business over the next few years.
Mike Reeves: Yes, it is a great question. And you're right, incredibly, take longer than we have here to walk through all of that in detail. But I think what I'd say is having now had a chance to really understand this business and meet both our internal team as well as many of our customers, I'm very impressed with the quality of products, the value of products and services that we offer, in many cases truly unique, and also the culture of this organization. So customer focused, so urgent, so ready to embrace change, where necessary to evolve this business to a higher level. I think broadly, and we've certainly commented on this before, the organization is quite diverse, and perhaps a little more diverse than an organization of this revenue scale should be. So I think we have to be thoughtful about where we focus our time, our attention, our capital spend. And you called out a couple of businesses that are, I think, extremely well positioned for the long-term macro trends. Our composites business, our A&I business, particularly we think, are very well positioned for the future. We have a very strong position in many aspects of pipeline servicing, whether it's coating or integrity management. But obviously, there are some challenges around politics for pipelines, particularly in North America at this time. So we have to be thoughtful there. I think premature to talk specifically about any one or two businesses that may or may not be a point of focus in the in the short-term. But all-in-all, I think we have a very clear vision of which businesses have the very best connectivity to the macro trends that are favorable here and those are the ones that will get the bulk of our attention and our capital investment.
Aaron MacNeil: Understood, appreciate the color. I'll turn it over.
Operator: Our next question comes from Tim Monachello with ATB Capital Markets.
Tim Monachello: First question, just around the composite side of the business, and particularly the composite pipe. Heard some rumblings from other people in the industry that supply chains and shortages on the field side of the OCTG market are developing, as we look over the next couple quarters, are you seeing some switching to composite pipe and OCTG from customers that have been traditionally use steel just given that they might not have access to steel.
Mike Reeves: So certainly, as we look at shortages across the raw material spectrum, I think what you're hearing is something that's likely to play out every reason to believe that steel availability will drop here. We've not seen a dramatic or measurable movement driven by a lack of access to steel piping. I think what we continue to see are customers that are looking hopefully at the total cost of ownership of their gathering lines and are continuing to see that a composite solution offers a better result than steel in that comparison. It's obviously sometimes harder than others to convince customers that that's the right move to make. But I think we're having some success there. Although I wouldn't say it is driven by a lack of access to steel at this point.
Tim Monachello: Okay, got it. Just a quick sort of housekeeping. You guys mentioned 40% revenue tied to non-oil and gas business lines that would include the fuel side of the pipe, like the tank business –
Gaston Tano: That’s correct.
Tim Monachello: Okay. Got it. And then one on the A&I segment. A pretty strong quarter, despite headwinds that you're seeing from Microchip shortages, is that the growth in revenue quarter-over-quarter and the growth in EBITDA quarter-over-quarter obviously part of that would be from increase the revenue side or the increased copper prices but is the majority of that just because of the 5G project that you're doing that seems to be coming to an end, I guess in Q4.
Mike Reeves: So what I'd say Tim is that, first, copper prices while they still bounce around a little bit, they've been much more stable in the last couple of quarters than they were in the beginning part of this year. So, movement in either revenue or EBITDA in Q3 versus Q2 had not much to do with copper pricing. It was more to do with the volume and the mix of certain deliveries. And as we commented, I think, particularly we had a robust quarter of deliveries into nuclear refurbishment applications and a robust quarter of deliveries into 5G build out projects. Both of those revenue streams have a little bit of lumpiness to them. There's a sequencing effect in nuclear refurbishment that causes demand to move around quarter-to-quarter, although the overall project duration is many years long. And on the 5G side, we had a particular project that we were supporting in Q3 that will get close to its end as we move through Q4. So it will be a little lower on 5G sales in q4. We had a little bit of benefit, not a material amount, but a little bit of benefit from the advanced purchase of copper wire that we made earlier this year. And I think it noted in our Q2 earnings call that advanced purchase copper was consumed as we delivered our commitments during Q3. And we've benefited from a little bit of price benefit in that respect. So a mixture of things. And what I'd say is that Q3, had a lot of favorability built in there. And when you look at the margins in the business that we delivered in Q2 and in Q3, setting kind of realistic forward expectations, I set your expectations that on average was somewhere between those two, but we're likely to continue to see a little bit of volatility quarter-to-quarter just based on the project based nature of some of the things we delivered there.
Tim Monachello: Okay, that's very helpful. You mentioned in the commentary around the automotive industrial segment, some energy shortages, which are impacting the plant in China, you expected energy shortages in the region are going to be a lasting issue. And is there any risk to energy shortages, perhaps impacting your customers production facilities in the automotive industrial segment in China?
MikeReeves: Well, certainly the Chinese energy supply situation is a little unusual right now. Government enforced energy restrictions that effectively lower our available working days by about 10% in that facility. At the moment, it's difficult to know how long that scenario will continue. And certainly everybody who is an energy consumer in China is impacted to some degree by this. So I don't think our customers will be exempt. What I'd say is that our automotive and industrial team, both in China and at a global level are extremely resourceful, and have worked to ensure that while we have fewer days with energy available in China, it has not lowered our overall production output in the facility, they rescheduled shifts and found ways to work around this issue. So I don't expect that this will have a material impact on our business in the near-term. Of course, if it were to elevate beyond the 10% impact, then you start to have to reevaluate there but in what we can see at this time, I don't see it impacting the ability of our business to perform.
Tim Monachello: Okay, that's helpful. And then, last one for me. In the PPS segment, you're probably benefiting to an extent or maybe not benefiting but dodging some supply chain issues just given, sort of lower throughput in the business currently. But as you look to some of the projects that you're expecting to book early in 2022, has the lead time for those projects extended and you think there's potential risk around delivery just based on supply chain issues, maybe for steel to even get the pipe to coat or for some of the inputs that you might need to actually coat the pipe.
Mike Reeves: At this point, I don't believe that we have material risk on that front. And for a number of reasons. Firstly, the raw materials that we consume in the paint coating process are still generally available. There's certainly been some price movement and the way our contracts are structured that passes through to our customers. So we certainly do not get caught in the middle there. And when larger projects are reached the late stages of award, as our customers lock in their commitments to us, we lock in our commitments to our supply chain vendors, and they commit and lock in their commitment to supply to us. So I think our supply chain is relatively low risk there. Obviously, steel availability is something that that our customers have to continue to keep a thoughtful eye on. And what we see is that they are generally managing that risk well and doing so, by thoughtfully allocating award of steel pipe purchase to multiple vendors, particularly on larger projects to hedge their risks. At this point, I don't believe that's going to impact us. Obviously, if the steel supply situation tightens dramatically. That may have a knock-on effect, but I don't envision it at this time.
Operator: Next question comes from Keith MacKey with RBC Capital Markets.
Keith MacKey: Just a question first on the budgetary number certainly came up pretty nicely in the pipe and pipe services segment. Can you maybe just talk about some of the new projects that have come into that number, project type, customer type, whether it's NOCs or super majors doing this type of work, and is it offshore oil or other LNG type work? Any color on any of those items you could give would be helpful?
Mike Reeves: Obviously, when we engage with customers, we tend to find confidentiality agreements, which makes it a little difficult to provide too much detail here. What I'd say is, you're right, certainly that budgetary number jumped substantially quarter-over-quarter. And I think generally, that is a very good indicator of the degree of urgency that our customers are starting to exhibit as they contemplate new pipeline projects. The items that elevated that budgetary number were a mix. So coming from both the Eastern Hemisphere and the Western Hemisphere coming in, I would say, both on the smaller end of the spectrum and the larger end of the spectrum, in terms of project size. And a mix, also in terms of customers, so both national oil companies and international oil companies driving that more of the activity is directed to gas than it is oil. But there's certainly oil element to this. I think what I'd say in general is that we are probably all observing the impacts of not enough energy for the world, more concentrated in some parts than others. And the oil and gas industry at large, is seeing the impacts of quite substantial under investment for the last five years. With elevated oil and gas prices, elevated demand and an expectation that that will continue for some time, we are certainly optimistic that this early stage, budgetary activity that has started to really rise will translate into ultimately fully sanctioned projects and elevated revenue and profitability for that pipe coating business of ours. Although as we said before, we don't see that revenue really starting to appear until we're into the second half of 2022 and then moving through '23 and probably '24.
Keith MacKey: Got it. Thanks for that color. Maybe just on capital allocation, so understand the next couple of quarters might take a bit of a step down. But as you go forward and things ramp up pipe services normalizes a bit and you experience growth in your core growth segments. What do you see as your more ideal capital allocation type methodology as you go through maybe the next one to two years? Is there going to be excess cash that you'd like to allocate beyond maintenance capital and debt reduction or is it, those kind of the main priorities for the foreseeable future.
Mike Reeves: So in terms of the cash generation of the company and our intended uses, obviously, first and foremost, it is to make sure that we protect the balance sheet and continue to move towards our targeted debt levels, which we've consistently stated are on the order of 1.5x. We certainly believe we will have access to sufficient cash to manage all of the maintenance and growth capital needs that we may have over the next couple of years. Thirdly, say that the work that's been done, particularly within the pipe coating business to right size the fixed facility footprint has meant that the underlying maintenance capital needs of that business are substantially lower today than they were two years ago. So when we think about total CapEx spend, our original guidance for 2021 was the 40 to 50 range. We've lowered that here the last couple of quarters just based on actual needs. And we're guiding into approximately 35. I think as we look forward to 2022, I'd say that the full year guidance will once again be in that 40 to 50 range. And I think in that range, we have the capacity to meet all of our maintenance capital needs and ensure that we have carefully directed growth capital into those businesses that are likely to see continued high levels of demand, which as we've discussed are particularly the composites business and the automotive and industrial business.
Keith MacKey: Perfect. Okay. Thank you. And one last one. So if EBITDA over the next two quarters steps down from 31 to around 18. I think you said that pipe services goes to about breakeven. So the other roughly half of the of the reduction, would you expect that to be evenly split between competence and A&I? Or is there one that steps down larger than the other?
Mike Reeves: At this point, I think our estimation is that it's roughly even it won't be perfect, but they're impacted by slightly different things. But the magnitude of the impact is similar.
Operator: Next question comes from Matthew Weekes with iA Capital.
Matthew Weekes: Good morning. Thanks. All of my questions have actually been asked at this point. So I'll just put myself back in the queue. Thanks.
Operator: And I'm not showing any further questions at this time, I'd like to turn the call back to Mr. Reeves for any closing remarks.
Mike Reeves: Thank you very much. So just close by saying thank you all for your time, your attention, your interest in the company this morning. We'll look forward to talking to everybody again next quarter and wish you all a great day.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect and have a wonderful day.